Operator: Good day. Welcome to the Mitek third quarter fiscal 2017 financial results conference call. Today's conference is being recorded. At this time, I’d like to turn the conference over to Mr. Todd Kehrli, MKR Group. Please go ahead, sir.
Todd Kehrli: Thank you, operator. Good afternoon. And welcome to Mitek's third quarter fiscal 2017 earnings conference call. With me on today's call are Mitek's Chairman and CEO Jim DeBello and CFO Jeff Davison. Before I turn the call over to Jim and Jeff, I'd like to cover a few quick items. This afternoon, Mitek issued a press release announcing its third quarter financial results. That release is available on the company's website at miteksystems.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I’d like to remind everyone that on today's call, management will discuss certain factors that are likely to influence the business going forward. Any factors discussed today that are not historical facts, particularly comments regarding our long-term prospects and market opportunities, should be considered forward-looking statements. These forward-looking statements may include comments about our plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties, which could cause actual results to differ materially. We encourage all of our listeners to review our SEC filings, including our most recent 10-K, for a complete description of these risks. Our statements on this call are made as of today, July 2017, and the company undertakes no obligation to revise or update publicly any of the forward-looking statements contained herein, whether as a result of new information, future events, changes in expectations or otherwise. Additionally, throughout this call, we will discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describes the differences between our non-GAAP and GAAP reporter and present the reconciliation between the two for the periods reported in the release. With that said, I’ll now turn the call over to Mitek's CEO Jim DeBello.
James DeBello: Thanks, Todd. And good afternoon, everyone. Thanks for joining us. Before I begin, I'd like to first welcome Jeff Davison on the call today. As we announced just last month, Jeff enjoyed Mitek as our CFO and brings extensive SaaS expertise, along with more than 25 years of experience in the financial operations and management of technology companies. Jeff played a key role as the CFO of RightNow Technologies, a very successful SaaS CRM company that was ultimately acquired by Oracle for $1.8 billion. He was also instrumental in executing RightNow's acquisition activities and completed four acquisitions during his time with the company. I'm extremely pleased to have him on board and know he'll be a tremendous asset to our leadership team as we continue to evolve into a leading provider of SaaS identity verification solutions. With that said, I'm happy to report today that Mitek achieved record revenue again this quarter, up 30% year-over-year, driven by continued solid growth from our identity verification solutions and industry-leading mobile check deposit products. Our growing and profitable recurring revenue business in mobile deposit has created a superb launching pad to capture the explosive growth in global digital identity verification. During the quarter, our SaaS revenue grew 61% year-over-year. In the third quarter, we saw significant increases in transaction volumes from our existing identity customer base and added several new customers for our identity products. Transaction volumes from direct customers in several market segments grew substantially during the quarter, including customers in payments and credit and digital companies that share travel and accommodation assets. These companies are using our identity solutions to identify customers who cannot be identified by traditional means and also to comply with demanding KYC and AML regulations. Our identity solutions are playing a key role globally in the digital and market mobile transformation of banks, lenders, credit card issuers and payments processors. Mitek's identity verification as a service platform is transforming the multibillion-dollar market for identity. An important distinction is that Mitek verifies identities, not just ID documents. Our solutions does this by combining three elements. First, scan and verify the authenticity of an ID; second, combine it with a facial comparison from a selfie; and lastly, compare an address from an image of a proof of residence document. We see our capability as unique, which is the basis of our confidence. Secondly, we're a platform provider for digital identity verification. Our platform can provide a wide variety of verification modalities today and in the future. Our Mitek Labs technology horizon is impressive, particularly with advances in deep learning. And thirdly, we're a cloud first company. The cloud changes everything. It allows us to benefit from a continuous learning loop, from processing millions of identity documents producing accuracy rates better than traditional human inspection. Recently, market research published by Hyperion highlights the increasingly stringent anti-money laundering regulations in the EU and the associated market opportunity that it creates for our identity verification products. You can download this report on our website. The world isn't getting any safer. And we benefit from secular trends driving our business, including the selfie habit and mobile self-service. Mitek's identity verification platform enables a wide range of mobile commerce services. This means going well beyond the banking vertical into adjacent markets, namely digital lending, travel, shared economy and many, many more. Build it once in the cloud and sell it to many is what we say. And as the digital transformation of the global economy accelerates, enterprises need our identity solution to validate identities and create trust to enable all sorts of mobile commerce services. Mitek's Mobile Verify enables our customers to instantly verify the authenticity of an identity using the latest artificial intelligence and machine learning techniques. With Mobile Verify, the customer is able to prove their identity digitally without having to appear in person. This also helps organizations cost-effectively mitigate the risk of fraud. To highlight one success example, a large online consumer finance organization is using Mitek's Mobile Verify to add over 1,000 more customers per day by streamlining their on-boarding process. Prior to using our solution, a significant percentage of all applicants could not be verified. Many of these applicants are young or they're immigrants with thin credit files. These applicants were placed into a pending queue, awaiting an identity verification process that required an in-person identity check or faxing an ID document. Imagine that. A fax of your ID. Not very secure. As a result, a majority of these people never completed the identity verification process, which meant the organization was losing most of these applicants and losing revenue. Problem solved with Mitek. It's this type of fast and accurate identity verification process that we believe is the key to protecting businesses, reducing their costs and unlocking revenue through the digital channel. To gain the same business benefits as this online consumer finance organization, several new banks signed Mobile Verify agreements this past quarter and many existing customers expanded their relationship with Mitek. In addition to growth from our direct sales efforts, we're building a robust channel of distribution to scale our business. We've already seen new identity customer wins and volume generated from our new partnership with Experian, which we announced just last quarter. Experian is a global information services group, with nearly 20,000 employees and operations in 40 countries and they're an important partner for Mitek as we look to expand our leadership position in the large and growing identity market. By reselling and integrating our identity authentication technologies with partners like Experian, we believe we can augment our direct sales efforts and accelerate the expansion of our identity solutions in financial services and beyond. This quarter, we also signed partnership agreements with Trulioo in Vancouver, British Columbia, a provider of instant electronic identity and address verification for 4 billion people in over 60 countries. And we also signed a deal with Signicat out of Norway, one of the leading providers of electronic identity and signature solutions in Europe. We continue to build on our channel and partnership network for identity and believe it will be a significant growth driver for Mitek in the years to come. Industry reports forecast that the global market for consumer identity and access management services will exceed $10 billion in 2017. Identity verification represents over a third of this market and is growing at a double-digit rate. The reports highlight that banking and financial services represent the largest industry vertical, consistent with our customer incumbency, as well as our direct and channel sales strategies. In addition, we're seeing demand and adoption from other vertical markets who share the same need for a trusted and verified customer relationship, such as those companies in the travel and sharing economy. Delivering the best user experience and coverage with speed and accuracy has made Mitek the global market leader in identity verification. We've been perfecting the use of artificial intelligence to develop algorithms for image recognition and analysis for many, many years. Altogether, we hold now 33 patents that all relate to capturing and processing documents, with additional 18 patents pending. As part of our ongoing commitment to innovation, today, our scientists and engineers are focused on a subset of AI called machine learning and deep learning, which enables computers to learn without being explicitly programmed. Our cloud platform is continuously learning from the millions of ID documents it processes. It also means that we can easily add new document types from across the globe to provide our global customers unparalleled and accurate digital identity verification capability. We're also working hard to expand our platform's capabilities. Earlier this month, we announce the release of a groundbreaking update to our Mobile Docs solution that allows a consumer to quickly and easily scan and send high resolution document images from anywhere for a loan or any other document-intensive process. Global organizations in the financial services industry require volumes of documentation to verify a user's identity, income and residents for processes such as mortgage lending. Our new Mobile Docs solution, which is fully integrated with our Mobile Verify solution now provides what we believe is an industry-leading, end-to-end digital process for capturing these trailing documents and verifying identity. We see this expansion of our identity verification offering as a competitive advantage for Mitek, as well as an upsell opportunity as we look to further penetrate the financial services market. In addition to our growth and innovation in identity, we continue to dominate the mobile check deposit market, with now over 5,800 financial institutions in over 80 million consumers using our mobile capture technology. Mitek pioneered mobile deposit and we're committed to ongoing innovation. During the last quarter, we introduced the newest release of our patented Mobile Deposit solution, with new capabilities and enhancements that improve the performance and usability of Mobile Deposit for both banks and consumers. The latest generation is the 23rd new release since Mitek invented Mobile Deposit ten years ago. While consumers love the convenience and ease of use of Mobile Deposit, which has made it a driver of high customer loyalty, financial institutions love it even more because it's one-tenth the cost of processing a check inside a branch. With this substantial cost savings, financial institutions continue to spend marketing dollars to drive their customers to use mobile check deposit and Mitek continues to benefit from this push to the lower cost mobile channel. One recent example of this is a large bank who mailed over half a million checks valued at a dollar each to a portion of their customers, asking them to try Mobile Deposit. Among those checks were a few thousand dollar prizes, sort of a Willy Wonka golden ticket approach that generated a 26% response and increased usage. Naturally, all of these activities benefit Mitek. The key drivers to mobile deposit's continued growth is consumer penetration and frequency of use. Adoption and usage of mobile check deposit continues to grow and there's substantial room for more growth. We believe one driver of growth will be the willingness on the part of financial institutions to remove the barriers to using mobile deposit. One notable example of this is U.S. Bank. They recently announced they're eliminating their $0.50 service fee on each mobile check deposit. Regions Bank did the same. As financial service organizations and banks remove these hurdles, such as service fees and low deposit limits, we believe it will drive further adoption and usage of mobile deposit, while ultimately delivering increased cost savings for our customers. We've got a terrific, substantial customer base of financial institutions that trust Mitek. Our success in mobile deposit and the continued growth of this market has laid the foundation for Mitek to establish itself as the leading provider of mobile identity verification solutions and we remain focused on successfully executing our growth plan for both these markets. In addition to great products and a high growth market opportunity, we announced earlier this week the appointment of René Hendrikse as VP and managing director of Europe. René joins Mitek to accelerate our growth in Europe and bring our market-leading mobile identity verification solutions to new vertical markets. With René's expertise and proven track record with SaaS companies in the European market, he is a perfect choice to further expand Mitek's position in the European identity verification market. Also today, we filed an 8-K appointing Kalle Marsal to chief operating officer. Kalle now has global responsibility for revenue and marketing for our identity solutions. He has over 20 years of experience in general management and corporate development and joined Mitek nearly a year ago as chief marketing officer. Prior to joining us, he served as a vice president at Hewlett-Packard, including management functions for both domestic and international operations and he was instrumental in building a cloud services business inside HP. Kalle holds two engineering degrees and his MBA from Stanford. With our terrific management team, including Jeff's addition, competitive advantages and technical superiority, our customer incumbency and market momentum and solid, solid balance sheet, we believe we're well-positioned for continued growth this year and beyond. Now with that, I’ll turn the call over to Jeff to discuss the financial results in more detail. Thanks, Jeff.
Jeff Davison: Thanks, Tim. And I thank everybody for joining us. Before we get started with the numbers, I thought I’d just say how happy I am to join the Mitek team. Before leading Mitek, I have used Mitek Mobile Deposit and I was impressed with how cool and easy-to-use it was. Also, I’ve raised kids through this entire shift through the mobile world and have seen how they do everything on their phone, which I do too now. So, when I looked at Mitek and I looked at their identity verification market and the SaaS element that they've got, it was a very appealing opportunity to me. So, I'm excited to be here and I really look forward to working with the Mitek team. So, with that, let's get into the numbers for Q3. Mitek generated Q3 revenue of $11.8 million, a 30% increase year-over-year. Q3 revenue included $2.4 million of ID SaaS revenue, a 61% increase year-over-year. And SaaS transactional volumes increased more than 50% sequentially. We achieved GAAP net income in Q3 of $0.6 million or $0.02 per diluted share and non-GAAP net income of $2.9 million or $0.08 per diluted share, representing our 13th consecutive quarter of non-GAAP net income. One-time charges related to our CFO transition impacted GAAP and non-GAAP net income by $0.8 million and $0.5 million respectively. Excluding these charges, GAAP and non-GAAP earnings per share would've been $0.04 and $0.10, up 90% and 35% respectively. Q3 software revenue of $7.5 million was up 30% compared to revenue of $5.8 million last year. We maintained strong software gross margins at 95% for the third quarter. Q3 services revenue of $4.3 million increased 30% over last year's revenue of $3.3 million. The increase in services revenue is due primarily to growth in transactional SaaS revenues for our mobile ID products, which increased 61% year-over-year and 36% sequentially to $2.4 million. Our ID business continues to see high demand for SaaS versus on-premise, with 90% of ID bookings year-to-date in the SaaS column. As was mentioned last quarter, the majority of our SaaS revenue to date is pay-as-you-go and is based on transactional volumes processed and billed each month, and therefore, is subject to fluctuations depending on volumes in any given period. However, as the mobile ID verification market continues to evolve, we're seeing a higher mix of contracts with transactional minimums. So, we expect the mix of SaaS revenue with minimum commitments to increase over time. This trend is very positive for the long-term foundation of our ID business because it further builds the recurring SaaS revenue base. All that said, we're very pleased to see continued year-over-year and sequential SaaS volume increases. Services gross margin improved slightly to 82% for the quarter. Total Q3 operating expenses, including cost of revenue, were $11.3 million compared to $8.4 million last year. Sales and marketing expenses for the quarter were $3.5 million compared to $2.9 million a year ago. R&D expenses were $2.7 million compared to $1.9 million last year. And G&A expenses were $3.4 million compared to $2.2 million a year ago. The year-over-year increase in our operating expense reflects our continued investments to grow our ID business, as well as one-time severance cost, stock comp charges and associated expenses totaling approximately $800,000, resulting from the change in CFO leadership. As a reminder, our earnings release includes a reconciliation between GAAP and non-GAAP net income. We believe non-GAAP net income provides a useful measure of the company's operating results by excluding acquisition-related costs and expenses, stock comp expense and litigation costs related to protecting our intellectual property. In Q3, we incurred $630,000 of acquisition-related costs and expenses compared to $556,000 last year. Stock comp expense during Q3 was $1.6 million compared to $947,000 a year ago. We had no litigation expenses in Q3 compared to $186,000 in Q3 of last year. GAAP net income for the quarter was $616,000 or $0.02 per diluted share compared to GAAP net income of $739,000 or $0.02 per diluted share a year ago. Non-GAAP net income in Q3 was $2.9 million or $0.08 per diluted share compared to non-GAAP net income of $2.4 million or $0.07 per diluted share last year. Our diluted share count was 35.6 million shares compared to 34.5 million shares a year ago. Turning to the balance sheet. We generated $2.8 million in cash flows from operations during the quarter, bringing our total cash and investments to $42.9 million at the end of Q3. Our accounts receivable balance of $6.4 million represented a DSO of 49 days. Now, moving to guidance for fiscal 2017. We are raising the bottom end of our revenue guidance range by $1 million to be between $44 million and $45 million for our fiscal year ending September 30. This would represent revenue growth between 27% and 30% year-over-year. We continue to expect the revenue mix for 2017 to be between 30% and 35% ID, 60% to 65% Mobile Deposit, and around 5% non-core product revenue. Additionally, we are reiterating our non-GAAP profit margin guidance as we continue to expect to generate healthy non-GAAP profit margins of at least 20% for the full fiscal year. We expect Q4 operating expense, excluding acquisition-related costs and stock comp expenses, to be between $9 million and $9.5 million, reflecting our continuing investment in the ID verification business. We expect acquisition-related costs and expenses to be between $500,000 and $700,000 and stock comp expense to be between $1.4 million and $1.6 million for Q4. Operator, that concludes our prepared remarks. Please open the line for questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Darren Aftahi with ROTH Capital Partners.
Darren Aftahi: Thanks, guys, for taking my questions. Congratulations. And welcome Jeff. Just a few, if I may. First, I think if I heard you right, sequentially ID transactions grew 50%. I’m sort of curious, is that the fastest sequential growth that you’ve seen kind of at a broader scale? And two, if it is, kind of what's driving that? Secondarily, with your new upgrade on your Mobile Docs product, what's the overlap between kind of customer concentration within mobile ID and those also using Mobile Docs. And in terms of booking mix, can you give a breakout international and domestic? And, I guess, lastly, the severance cost with the CFO transition, other than the stock comp, where did that hit the P&L? I assume G&A, but just confirmation of that would be helpful. Thanks.
James DeBello: Hi, Darren. This is Jim. I’ll jump in on one of them, the Mobile Docs question, and then allow Jeff to respond to your other three. With regard to Mobile Docs, there is no overlap in use cases between how it's applied in the banking industry with our group that pursues Mobile Deposit sales and also separately how it applies to the lending industry. So, let me give you the use cases that might help clarify this. With regard to Mobile Docs in banking, clearly, in terms of payments using Mobile Deposit, sometimes our invoices are trailing certifications or documents that are associated with that payment or a check. In that case, using Mobile Docs can capture the invoice and associate that payment, that check with that particular invoice [indiscernible] as an example. Now, separately, as we see the application of it in the identity business, it's clearly for people who are providing loans, and particularly those which are high intensive document requirements such as mortgage, as I mentioned during my remarks. So, we see it really as a product that serves two masters to a degree in terms of what we intend to use for. We actually have even given it some different nomenclature in the Mobile Deposit area as associated trailing documents and in the identity area as Mobile Docs, but fundamentally the same technology. Snap a photo of a document any size, we can crop it and remove any kind of noise, which would be shadow or other types of elements that can distort the image. We can correct for that and then give a very crisp image from which you can conduct your business, all through the camera on your phone. Hope that answers your question.
Darren Aftahi: It does. Thanks.
Jeff Davison: Okay. Hi, Darren. This is Jeff. On the sequential growth in the transactions, 50% is a great number for us this quarter. As I look back, we've had good growth, strong growth in previous quarters on smaller numbers. So, I would say 50% isn't necessarily the highest, but it's up there amongst the highest and it's very strong. So, we're pleased with that number. Your question on the mix, international versus North America, I would say that the business we've seen has been between 20% and 30% from an outside of North America perspective. As we look forward in 2017, that should near from 30% from outside North America. And then, long-term, I would think the business would see business around 40% outside of North America. On your fourth question, the severance cost, yes, that all went into G&A, the severance and the stock comp.
Darren Aftahi: Great, thank you.
Operator: Next, we'll hear from Mike Grondahl with Northland Securities.
Mike Grondahl: Yes. Thanks, guys. And welcome, Jeff. And congratulations. Hey, Jim, a question for you. Did you stumble on or come up with any new use cases during the quarter?
James DeBello: Well, Mike, we always do. It's interesting. One of the things that we're seeing a trend and it's just early right now, in terms of charitable giving for Mobile Deposit, as an example. These charities are collecting thousands and thousands of checks as donations. And they want a more efficient way for them to process those checks. And so, we are working very diligently to secure additional charitable organizations. I do believe we've made an announcement that American Cancer Society is working with Mitek and we expect that others will follow. We've had several inquiries. That’s on the deposit side. On the other area, with regard to identity, we're seeing tremendous interest in adjacent vertical markets. And I named travel and shared economy in my prior remarks, not to mention also lending. And there's a fourth one in education. We have one case study and we hope they’ll be publish it shortly. They have a regional college district in the Western United States which has seen a material improvement on their application processing and enrollment, reducing it from two weeks typically with the paper-driven process they had before to less than seven minutes using a phone or online with Mobile Verify. Remarkable change. They're extraordinarily happy. And We're not sure how big that particular market is in ID for education, but it shows the power of what that product can do. I mentioned during my remarks what we do again for a financial services organization. And then, I’ll just close with one additional one in the shared economy world where we're seeing the need to create trusted relationships as growing. And we do have a toehold in certain key and large accounts there that’s growing nicely. I think that's reflected in some of the numbers Jeff reflected on. But we're seeing use cases expand across the board for both Mobile Deposit and Mobile Verify.
Mike Grondahl: Got it. You mentioned Trulioo in, I think it was, Vancouver and Signicat in Norway as kind of partners. Can you be a little bit more specific? How are you working with those guys? Or how are you helping them?
James DeBello: Yeah, it's a good question actually. And this is a true partnership. Trulioo is a unique provider of data services. They're a traditional data bureau. You put them in that category. But what's non-traditional about them is that they're going to developing world countries, who have little or no information about individuals. You may not know this; and it's interesting, working with them, I've learned this. There's over 200 million births worldwide, babies who are born who are invisible. There is no documentation. There's nothing about them. Imagine the problem in India or in Africa continents or in certain parts of the developing world. And they made a concerted effort to find ways to source information to provide some level of identity verification through data. But data is not enough. So, we provide the other element, which is identity verification, our service through the cloud, with regard to snapping a photo of a document. It could be an ID, a paper or some other means of formal identity. Combined, that makes a very interesting application and solution. So, they have actually embedded our technology into theirs, and they are offering it certain customers who are in the payments processing world. One of them – one of which is we expect to start production next quarter. By the way, Trulioo is an interesting company, funded partly by American Express. So, it's a player. They're very knowledgeable people in this new domain of data for non-traditional countries. We think of Experian here in the US and in UK and in Brazil as a very large provider of data services. They are. These are well-developed markets with well-developed documentation. Lots of other countries out there that don't have that. So, they have a global footprint. Partnering with people like Trulioo is important for Mitek besides selling directly to major enterprise customers. So, that's number one. Number two is the group in Norway, Signicat. Terrific folks. Big presence in the European continent. We are working with them on a large bank in the Benelux area. And so, so far, we've engaged with both partners with customer prospects. It's not something that we're hoping the customers will come. That’s part of the deal. We start with a customer. We form a relationship and either we embed our technology or co-sell with them. Hope that helps.
Mike Grondahl: Yeah, it does. Hey, thanks a lot, guys.
Operator: [Operator Instructions]. We'll hear from Mark Schappel with Benchmark.
Mark Schappel: Hi. Thank you for taking my question. Hey, Jim, starting with you, given that you've upgraded the management team this quarter pretty meaningfully, what can we expect in terms of growth of the sales force over the next few quarters?
James DeBello: Well, you know what, Mark, first, let me comment. I think we augmented our management team, not upgrade. We have a terrific group of people here, leading the company at all tiers. You need the top-level folks. You also need folks who are driving the day-to-day activities and getting the products out the door. So, I'll just change that comment a little bit to say that we augmented. Very happy to have Jeff here. Kalle is a tremendous addition to Mitek with deep experience. And René is going to just terrific for us. We're really looking forward to his performance. He's just been with us three weeks now. So, this is all about sales and bookings. And that's the nature of the cloud business. So, we are working very hard to continue to invest in the sales area. I would say, to characterize our future with regard to 2018 that’s quickly approaching, our primary investment will be in sales, continued investment in the innovation area, and thirdly, customer success. And that may be a new term, Mark, or not for you, I’m not sure, but for us, what that means is the ability to – once we have booked and secured a customer to keep that customer, right? To keep that customer very happy and to expand that customer. Many of our customers are pay-as-you-go. As we mature this market, we're going to see more and more of those ratable deals for two, three-year periods. But as we get started, many of them pay as they go. So, we need to make sure that our product is performing to their expectations and they're getting all the benefit they expect out of it. What that should result in is greater volume in transactions, which obviously drive our topline. Secondly, they're great testimonials with our customer base. And you know some of them that we've announced in the past. These are marquee customers. The list of logos continues to grow here at Mitek. It's unbelievable. I haven't seen a variety of such blue-chip customers in a company at this stage as I have here at Mitek. And I'm proud of the team. So, we're going to continue driving that, not only the top line with sales and booking, but clearly in the back end with regard to really satisfying those customers. So, those are three areas – sales, development in terms of innovation – and I mentioned deep learning – and the third area, of course, is customer success.
Mark Schappel: Great. And point taken on the augmentation here. So, next question, with respect to René's appointment, is he filling an existing position or is this an entirely new position that you’ve created?
James DeBello: It's really a position that has emerged in terms of a strong managing director for all of Europe. When we purchased IDchecker, they are a great group of people. The cultural fit was tremendous. But now, as we have grown with them in Europe and have other aspirations in different continents, we need a person with strong general management experience who's done that and has worked in concert with NASDAQ, public, US-based companies. René is Dutch. We were very fortunate to find him in Amsterdam where our headquarters are located. So, it was an easy transition for him and for us. But his responsibility goes beyond the Netherlands into the UK, which we think is a primary geography for us and, ultimately, on to the mainland. We have many opportunities there. We'll be announcing some in the future.
Mark Schappel: Great, thank you. And then, finally here, any update on the SAP Ariba partnership? I realize it's still early days, but I was just wondering if there is any additional comments or feedback on that?
James DeBello: We have been working very closely with them. And it's a good question, Mark. And their changing plans have delayed and are putting that project in an area of uncertainty as we move forward. So, we're watching it very closely. These are internal decisions to Ariba. And we're still working closely to understand what their ultimate direction is. Fortunately, the infrastructure we put in place to support that deal can support other opportunities like that. So, our investment in that area is really a derivation of what we're already doing in Mobile Deposit and we think that investment will pay off long-term. Whether or not it's with Ariba, I can't be certain.
Mark Schappel: Okay, thank you.
Operator: [Operator Instructions]. We'll now hear from Bhavan Suri with William Blair.
Unidentified Analyst: Hi. This is Alex Becky [ph] on for Bhavan Suri. Since all the other questions have been asked, this one's for Jeff. I know you haven't been on for very long, but just out of curiosity from the month or so you've been onboard, sort of what are the strengths of Mitek you’ve seen and maybe some of the weaknesses as well?
Jeff Davison: Hi, Alex. Nice to meet you. That's a great question. So, I've been onboard three weeks here and it's been a great three weeks, drinking from the fire hose, which has been terrific. But what's really encouraging to me is it's a great group of people here. There's people interested in really tackling the ID verification market, going further into the – building a big SaaS business. That's all exciting to me and why I joined. The strength of the company, the business definitely owes a lot to the payment side of the business, the mobile tech department where the company really has deep roots and owns such a huge portion of the market. But then, the willingness and the interest and the desire to really take over verification is a real strength here. I think the company has got technology that's far ahead of other companies. I think the company has got great relationships in the markets that they’ve been in. And so far, this all looks super positive to me and I'm excited I’ve joined. So, I'm looking forward to a great path here.
Unidentified Analyst: Awesome. That's wonderful. We wish you the best of luck.
Jeff Davison: Thank you.
Operator: That will conclude the question-and-answer session. I will now turn the conference over to the company for any additional or closing comments.
Todd Kehrli: Thank you, operator. And thank you, everyone, for joining us today. Mitek's management will be presenting at the 37th Annual Canaccord Genuity Growth Conference in Boston on August 9. If you're planning on attending, please stop by and say hi. We hope to see you there. This concludes our call. And have a great day.
Operator: That does conclude today's conference call. Thank you for your participation. You may now disconnect.